Operator: Good day, ladies and gentlemen, and welcome to the People's United Financial, Inc. Second Quarter 2019 Earnings Conference Call. My name is Gigi and I will be your coordinator for today. At this time, all participants are in a listen-only mode. Following the prepared remarks, there will be a question-and-answer session. [Operator Instructions]I would now like to turn the presentation over to Mr. Andrew Hersom, Senior Vice President of Investor Relations for People's United Financial, Inc. Please proceed, sir.
Andrew Hersom: Good afternoon and thank you for joining us today. Here with me to review our second quarter 2019 results are Jack Barnes, Chairman and Chief Executive Officer; David Rosato, Chief Financial Officer; Kirk Walters, Corporate Development and Strategic Planning; and Jeff Tengel, President.Please remember to refer to our forward-looking statements on Slide 1 of this presentation, which is posted on our website, peoples.com, under Investor Relations.With that, I'll turn the call over to Jack.
Jack Barnes: Thank you, Andrew. Good afternoon. We appreciate everyone joining us today. Let's begin by turning to the second quarter overview on Slide 2. We are pleased with our second quarter performance. Operating earnings of $135 million increased 24% on a year ago and operating return on average tangible common equity of 14.6%, improved 40 basis points. On a per common share basis, operating earnings were $0.34, up $0.02 year-over-year.These strong results reflect continued success of our strategy, balancing organic growth with thoughtful M&A. Higher revenues and our continued emphasis on controlling costs generated a second quarter efficiency ratio of 55.8%, an improvement of 260 basis points from the prior year quarter and 150 basis points linked quarter.Total revenues of $454 million, grew 15% from a year ago due to increases in both net interest income and non-interest income. We experienced particularly strong non-interest income result, highlighted by a record quarter for customer interest rate swap income.The net interest margin of 3.12%, improved 2 basis points from a year ago, but declined eight basis points from the first quarter. While new business yields remained higher than the total loan portfolio yield, the margin contracted primarily due to increased deposit costs and the acquisition of Belmont.Period end loans and deposit increased 9% and 7% respectively from March 31st, driven by the addition of Belmont and organic growth. Excluding Belmont our loan and deposit balances increased 1% and 2%, respectively.Our organic loan growth continued to highlight the importance of our diversified business mix, strong production and mortgage warehouse lending, core middle market C&I, healthcare and equipment finance more than offset the continued headwinds in commercial real estate and planned reductions in residential mortgage balance.We continue to see good levels of business activity across our markets and remain optimistic about the growth opportunities in the second half of the year. We are also encouraged by our continued success gathering deposits. Results this quarter benefited from higher than expected municipal balances and a large short-term deposit from a commercial customer.Despite observing some recent modest easing and deposit pricing, we still view the market as highly competitive. As we have previously indicated, we expected deposit cost increases to continue for 2 to 4 quarters following the end of the fed tightening. As such, our deposit costs were up 10 basis points for the quarter.However, we remain focused on controlling pricing and recently made our second move in the last two months to lower CD deposit costs. As I'm sure you all know, earlier this week, we announced the acquisition of United Financial Bancorp the holding company for United Bank.We are excited about this financially attractive transaction that further deepens the bank's presence in Connecticut, our largest and most profitable market, and also enhances our franchise in western Massachusetts. We look forward to working closely with the United Team to integrate the companies to best serve our combined customer bases.With the closing of the Belmont acquisition in April, we've begun to leverage our expanded customer and employee base to build upon our strong organic growth in Massachusetts, particularly in the greater Boston area. We're especially pleased with Belmont's commercial real estate team, which is generating good production.Integration continues to go extremely well. The core system convergent will take place later this month and we remain confident in achieving the transactions attractive returns. Adding to the momentum, our franchise is generating in the greater Boston area, we opened a new branch in the Seaport District of the city earlier this week. We're excited to have a location in this vibrant and growing part of Boston to serve our customers.We're also pleased to announce Board of Directors approved the repurchase of up to 20 million common shares, which reflects our strong capital positions and commitment to returning capital to shareholders. It is important to note the share repurchases will be made at the discretion of the Company following the close of the United acquisition.With that, here's David.
David Rosato: Thank you, Jack. Turning the Slide 3, net interest income of $340.1 million was up $15.3 million or 5% from the first quarter. The loan portfolio contributed $30.8 million of the increase to net interest income and benefited from higher yields on new business. Net interesting income also benefited $2.1 million from an additional calendar day in the second quarter.The primary offsets to these increases were higher deposit costs, which reduced net interest income by $14.4 million. In addition, lower balances in the securities portfolio and increased borrowing costs lowered net interest income by $1.8 million and $1.4 million respectively.As displayed on Slide 4, net interest margin of 312 declined 8 basis points linked quarter. The loan portfolio had a 6 basis point favorable impact on the margin, as new business yields remained higher than the total portfolio yield. However, increased deposit cost caused the margin to contract 14 basis points.Consistent with the projections we provided in April, the addition of Belmont negatively affected the margin by 6 basis points for the quarter before purchase accounting adjustments. However, the net effect of Belmont purchase accounting adjustments served to offset this impact by approximately 4 basis points.Turning to loans on Slide 5, average balances of $38.2 billion, increased by $3.2 billion or 9% from the first quarter. On a period end basis, loans ended the quarter at $38.6 billion, up $3 billion or 9% from March 31st. These increases were driven by the addition of Belmont and organic growth.Excluding the acquisition, average and period end balances increased $490 million and $383 million, respectively or 1% on each basis. Organic growth was primarily driven by mortgage warehouse lending, middle market C&I across the franchise and equipment finance. Mortgage warehouse balances ended the quarter at $1.2 billion, up $340 million linked quarter. C&I growth also benefited from good results in our healthcare vertical and equipment finance continued to experience strong production by LEAF.The largest offsets to these increases were lower balances, excluding the addition of Belmont in commercial real estate and residential mortgage. Commercial real estate continues to be impacted by the headwinds we have discussed previously including elevated competition and continued higher payoff.The reduction in residential mortgage balances was planned as we remixed the balance sheet, given recent acquisitions having a higher percentage of lower yielding residential mortgages than our standalone portfolio.Balances in the transactional portion of the New York multifamily portfolio, which is in runoff mode, ended the quarter at the $881 million, down $59 million from March 31st. The portfolio has runoff less than anticipated as balances have only declined $86 million since year end. As such, we now expect runoff to be $200 million to $300 million for the full year, a decrease from our expectation in January of $400 million to $500 million.Moving onto deposits on Slide 6. Average balances of $39.2 billion, increased $2.8 billion or 8% linked quarter, while period end balances of $39.5 billion were at $2.6 billion or 7%. These results were driven by both the addition of Belmont and organic growth. Excluding the acquisition, average and period end balances increased $713 million and $600 million, respectively or 2% on each basis.Deposits benefited from higher-than-expected municipal balances and a $500 million short-term deposit from a commercial customer. Our interest bearing deposit beta is 37% since the beginning of the current cycle of increasing interest rates, up five percentage points from 32% at the end of the first quarter. In comparison, our loan yield beta is 41% during the same period, a decline of one percentage point linked quarter from 42%.Looking at Slide 7, non-interest income had a very strong quarter at $106.3 million, an increase of nearly $12 million or 12% on a linked quarter basis. The result was primarily driven by a record quarter of customer interest rate swap income, which increased non-interest income by $4.6 million, $2.4 million in higher commercial banking lending fees reflecting higher prepayment income and loan syndication fees.A $1.2 million increase in bank service charges, primarily resulting from an additional calendar day in the second quarter, and higher investment management and cash management fees, which collectively improve non-interest income by $1 million. Conversely, insurance revenue was down $1.8 million in the quarter reflecting the seasonality of commercial insurance renewals.On Slide 8, non-interest expense of $278.4 million increased $1.2 million linked quarter, included in the second quarter were $6.5 million of merger related costs in the following categories, 4.7 million in professional and outside services, $1.5 million in compensation and benefits and the remaining $300,000 in occupancy and equipment and other. In comparison, the first quarter incurred $15 million of merger related costs, with nearly $12 million in other non-interest expense, primarily reflecting the cost of 15 branch closures associated with Farmington bank acquisition.Excluding merger related costs, non-interest expenses of $271.9 million were up $9.7 million or 4% linked quarter. The largest drivers of the increase was $5.9 million in higher compensation and benefits costs, primarily reflecting the addition of Belmont and $1.4 million in increased professional and outside expenses. Overall, Belmont added approximately $7.2 million to operating expenses in the quarter.Turning to Slide 9, the efficiency ratio of 55.8% improved 150 basis points from the first quarter and 260 basis points from a year ago. We are very pleased with the significant progress we have made and remain focused on seeking ways to improve operating leverage.Asset quality was once again exceptional across each of our portfolios, as demonstrated on Slide 10. Originated non-performing assets as a percentage of originated loans and OREO at 56 basis points were up modestly linked quarter but remain below our peer group in top 50 banks. A single C&I account drove the increase in non-performing assets for the quarter.Net charge-offs were five basis points improved from an already low level and continue to reflect the minimal loss content that are non-performing assets. As we have previously said, sustaining excellent asset quality is an important lever in building long-term value and a hallmark of People's United.As such, even though the credit environment continues to be benign and has for an extended period, we remain committed to our conservative and well defined underwriting process that has served us well for so many years.Briefly on slides 11 and 12, return on average assets improved 8 basis point linked quarter to 104 basis points, while return on average tangible common equity increased 110 basis points to 14.1%. On an operating basis, return on average assets was 106 basis points, while return on average tangible common equity was 14.4%.As you can see on Slide 12, capital ratios remained strong, given our diversified business mix and long history of exceptional risk management. Before opening the call up for questions, I want to draw your attention to Slide 13, as we have provided an update to our full year 2019 goals.As a reminder, the goals updated in April simply reflected the addition of Belmont as People's United standalone goals were unchanged. Given the current interest rate environment and the expectation of monetary policy easing by the Federal Reserve, we have adjusted our full year goals for net interest income and net interest margin. Please note these goals do not include United Financial.Our updated full year of 2019 goals are as follows. Net interest margin is expected to be in the range 305 to 315, compared to the previous range of 310 to 320. Embedded in this expectation is the assumption of two 25 basis point decreases in the fed funds rate. Our prior assumption was for no change in the fed funds rate during the year.As a result of our lowered NIM expectation, we anticipate net interest income growth to be in the range of 11% to 13% down from 13% to 15%. Importantly, the full year goals for loans, deposits, non-interest income, non-interest expense, provision, effective tax rate and capital remain unchanged.Now, we'll be happy to answer any questions you may have. Operator, we are ready for questions.
Operator: Ladies and gentlemen, we are ready to open the lines up for your questions. [Operator Instructions] Your first question comes from Casey Haire from Jefferies. Your line is now open.
Casey Haire: A question for you on the NIM guide, the two cuts. Is that July, September? And then what is that assume you guys were able to do on the deposit side there to offset the asset yield pressure?
David Rosato: What the guidance is, is based on July and December cuts Casey.
Casey Haire: Okay. So, very limited, okay, so effectively one, as it relates to '19, and then what can you guys can do on the deposit side or liability side or liability side to offset that pressure?
David Rosato: Sure. So, we've done a couple of things, Jack referenced a little bit. Within the last week, we brought down some of our promotional money market rates, getting ahead of what we expect from the fed. So, we're down about 20 basis points in money markets and a couple of our larger markets.In our CD book, we've actually made two separate moves in the last two months. So cumulatively, our six month CD special that we're running is down 30 basis points. And our 11 months is down 60 basis points cumulatively, and we actually have an inversion in our CD rates now.It'll take a little bit of time for that to roll through. But with those moves, and more that we expect, post the fed actually moving on July 31, we'll do our best to offset as much of the NIM pressure as we can.
Casey Haire: Okay, great. Just switching to loan growth guide, the 10 to 12, I'm doing my math, right, that implies it, pretty decent range of about 700, a little less $700 million between the low and high points. How are pipeline shaping up? I know, you had a very nice mortgage warehouse quarter and that can be seasonal. Just trying to get a final point on the loan growth guidance based on pipelines?
Jack Barnes: Casey, it's Jack. I'll let Jeff, answer that and give you some color on what's going on in the different business lines and markets.
Jeff Tengel: Yes, hi, Casey, this is Jeff Tengel. We think the pipelines they are still pretty healthy, that we haven't seen a material declines or decrease in the pipelines from what we've been moving through during the first half of the year. So, our expectations are that the second half all being equal look pretty similar to the first half kind of setting aside that often times we'll see the second half has a little bit of a increase.As we move through in December, in particular, the equipment finance businesses tend to have a very strong end of the year. We haven't seen any signs of slowdown in any of the businesses that we've been highlighting here, acknowledging the headwinds in commercial real estate, but apart from that, everything seems to be in pretty good shape.
Casey Haire: And just last from me, the other income line and obviously the swaps were very strong this quarter, but the fee guide does imply a pretty decent step down, 91, 95 in the back half of the quarter, if I'm doing my math right. Is that jive with what you guys are thinking?
David Rosato: Yes. So, Casey, the fee income is running better than we expected and we really had a great second quarter. There's some volatility, as you know, in some of those line items. So, the way I think about it is that is that strong momentum continues. We're going to be on the high end or maybe even above the guidance, but we didn't change it just because of the volatility of some of those line items.
Operator: Thank you. Your next question comes from Ken Zerbe from Morgan Stanley. Your line is now open.
Ken Zerbe: You guys talked about 20 million shares that you had authorization for understand, it needs to wait until you guys closed, but can you talk about thereafter like how quickly would you like to purchase or try to finish the 20 million shares?
David Rosato: The way I would think about it, Ken, is it's important to have that in place. We are looking at that point in time opportunistically. So, we are putting out a timeframe and an expectation that all those shares will be bought immediately. It's really subject to market conditions post the close of the United transaction.
Ken Zerbe: Got it. So, it could be anywhere from the couple of quarters to two years.
David Rosato: Yes, but reasonable expectations, we sit here today.
Ken Zerbe: Understood. I guess along the same lines when we think about your capital ratios and using the 20 million shares, and it looks -- my calculation it looks like it reduces your capital ratios if you did it all in one chunk, by about 90, 100 basis points on CE Tier 1. Is there a capital level or capital ratio that you are targeting that you don't want to go below, that might be the most restrictive help us think about the timing of buybacks?
David Rosato: There is what I would say is, your number is directionally correct. We could buy all those shares back in a relatively short period of time and still be fine from our capital target.
Ken Zerbe: Okay. That helps. And then, switching gears a little bit, other fee income looks like it was one of the biggest. I don't understand your guidance for lower fee income going forward, but what was on the others fee lines because the $4.3 million in your slide?
David Rosato: There was a bunch of odds and ends. One of the main drivers was you see on the balance sheet that, we have equities, securities. We have one equity security position, which have to be mark-to-market through the income statement. That was about $800,000. We also had some a little over $400,000 of only income in the quarter, and after that it's pretty much odds and ends.
Ken Zerbe: And then, one last question if I could. In terms of this transaction on New York City multifamily portfolio, just kind of reconcile. Obviously, I heard your comments that, the payoffs are slower, but at the same time kind of you and many other banks talk about payoffs in their normal CRE portfolio being much faster. Is there anything unusual about this portfolio, why wouldn't the payoffs affect this portfolio or is this more a little more rent stabilized stuff that might stay on your books for a lot longer?
David Rosato: Yes. This is a New York broker originated multifamily. It is certainly not all rent control, but there is some portion of that portfolio that does have rent controlled properties. We had a high level of maturity in that portfolio last year and then refinancing away from us out of that portfolio. The actual maturities this year came down quite a bit, but when we gave original guidance, we were expecting the level of refinancing to remain elevated. And I think what we've all learned now, through the first six months of this year is the activity levels in that, that segment of the market have really slowed down. And that led to quite a bit of a much larger portfolio at this point in the year than the originally expected.
Operator: Thank you. Your next question comes from Jared Shaw from Wells Fargo Securities. Your line is now open.
Jared Shaw: Just a first question on the United deal with their exposure to DC Solar, they took a $9 million write-down this quarters. Is that in addition to the write-down that you provided us on Monday? Or is that part of the evaluation that you put on there?
David Rosato: No, our 41.7, it was the full amount of the balance sheet exposure plus prior tax credits received. United's number is a subset of what we had conservatively modeled.
Jared Shaw: Okay, so these are, that $9 million is I guess we're looking at coming out of that were part of that $41.7 million total exposure not in addition.
David Rosato: Correct.
Jared Shaw: Okay. And then what's the anticipated total goodwill from the United deal?
David Rosato: I don't have that number handy right now. Give me a sec. And it's subject to quite a bit of change as March move.
Jared Shaw: Not sure yet. We can follow up after. Okay. Sure. And then just following up on Ken's question on the multifamily, when you're saying that the pace of refi is slow, are you also saying it's driven by the pace of just sale, secondary markets sales of those properties slowing and wherein in the past?
David Rosato: Yes.
Jared Shaw: So, it's not that people are holding on to their loans past that reset date, it's this more than the year anticipated sale schedules has slowed down?
David Rosato: Yes, it's just the transaction activity in that market had slowed down as people react to the new legislation.
Jared Shaw: Okay, got it. Those were the questions I was looking for. Thanks a lot.
David Rosato: Thank you.
Operator: Thank you. Your next question comes from Brock Vandervliet from UBS. Your line is now open.
Brock Vandervliet: Just following up on that last question on multifamily. Would you consider selling that portfolio since it now looks like, it may be around for much longer than we thought it would be?
David Rosato: We thought about it from time to time and we certainly could. But today, as rates go down, and it's hanging around a little longer, that's a good thing from our perspective. So, yes, I would never say, never, but I would guess we will not wind up selling those assets.
Brock Vandervliet: Okay, fair enough. And what's your sense of your rate sensitivity now relative to the shock test results we saw in the queue given Belmont, has it changed materially?
David Rosato: No, Belmont was slightly liability sensitive, but once they were aggregated into us, they are only roughly 5% of our asset size. They had a very modest impact overall.
Brock Vandervliet: Okay. And you appear to using the forward curve, as you look in to next year, where the curves implies several more cuts, are you comfortable with your rate positioning or there are things you would look to do in addition to hedge that out? I guess United will help you in that regard because it is more liability sensitive.
David Rosato: Yes. United will have a small positive impact, small reduction in our asset sensitivity. I think the real question that we spent our time on is, feeling pretty good about the asset side of our balance sheet from a rate sensitivity perspective. Credit spreads have been steady. Our securities portfolio is a longer duration and provides a nice hedge there.The hedging at where we are today is a pretty bullish state because any 10-year swap is immediately negative to carry perspective first one month LIBOR, three month LIBOR. So, we haven't rushed out to hedge anything in the derivatives market right now. If we get substantially more constructive on rates going down and the curve steepening, our outlook committee will continue to evaluate that. But as we sit here today, we are modestly asset sensitive and we are comfortable with that.
Jack Barnes: And as we told you, we are actively moving now to manage our deposit cost and we will continue to look at that if the forward curve is right on what's going to happen with short rate.
Operator: Thank you. Your next question comes from Collyn Gilbert from KBW. Your line is now open.
Collyn Gilbert: May be if we could just start, David, with some margin, the margin guidance that you guys gave 3.05 to 3.15, I know you touched on some of this, but just thinking about it in terms of the waterfall chart that you guys put in the slide deck on Slide 4 just for the impact this quarter. If we could maybe if you could walk through how that would look in your guidance? You know, you talked about a little bit on the deposit and where you're seeing, you're just seeing some promotional rates, that's helpful, but also just thinking about the loan maybe how in this scenario thinking about loan yield. I guess that's really the big thing, on the loan yield demand the borrowing side too?
David Rosato: Sure. What I would say just looking at Slide 4, the big number is the 14 basis points around deposits and what I would say is in the second quarter, what we were able to do to lower deposit costs was very modest, right. And the moves that I talked about a few minutes ago, were later in the quarter and didn't impact the quarter. When I think about the asset size side, we have about 43% of our loans are our prime or one month LIBOR. So that's where the headwind is. And I think that those loans will continue to re-price down, as one month LIBOR moves down if the forward curve is correct.We have a nice offset in our securities portfolio, in our equipment finance business which is very nice yields, great cash flow and is all fixed rate. As I think about the back half of the year, with the fed moving, its deposit management that is, is where the work has to be done. And I just generally speaking, I think it's been hard for banks to be too aggressive in lowering deposit costs, until we get the cover up to set I think in that first move. And I think we all collectively think that's right around the corner. So our margin guidance of 3.05 to 3.15 is looking, is assuming a step down in margins of approximately three basis points a quarter is kind of how I would term it, position it today.
Collyn Gilbert: And then, if we take that, but -- and if we just transition sorry, for a minute to UBNK. So, I believe you guys had said in your deal metrics that you were using consensus estimates for 2020 I think of a $1.09. It looks as if now having digested UBNK's quarter and speaking with them that that achieving that is going to be a big challenge. How does that come into play with your outlook in terms of your EPS accretion targets and the like?
David Rosato: They're UBNK for 2019 is not going to have a big impact on us just because of the closing of the deal. This is the way we think about that is more of how we, what we do once you take once we merge with them and some of the balance sheet changes that we've made at that point, is obviously going to be dependent on time of closing and how we feel and where interest rates are at that time.
Collyn Gilbert: Okay, I was it's really more of the 2020 number that I'm honing in on, like if it turns out to be $1 versus $1.09, you think you still is what you're saying you still think you have enough sort of balance sheet optionality there to recover that whatever loss earnings may happen to the Company between now and when you close the deal or now and when you integrate the deal.
David Rosato: Yes, that's our position.
Collyn Gilbert: Okay. And then just on the buyback, I'm sorry, I think you said it David. So you're if we look at your capital targets, and that Tier 1, the 10 to 10.5 range. And did I hear you correctly and saying that you, even if you did execute on this buyback pro forma with UBNK, you still would have still be within those targeted capital ranges?
David Rosato: Yes, our operating target for CET 1 would allow us to buy that stock back in a relatively quicker defined a quarter or two and still be above our operating targets.
Collyn Gilbert: I guess I'm trying to figure that out. We can, may be talk offline. I guess just thinking conceptually, UBNK is going to lower your capital levels, you are not really going to generating much capital just given the probably the direction of earnings, but you're saying you will. You're so optimistic.
David Rosato: Yes, but, we are also the first thing we said on the first question that came around buyback was, we are positioning that as it's nice to have it in play, we have lowered our dividend payout ratio quite a bit over the last couple of years. It's down around 50% today. So, we have another capital management tool, but we did position it as opportunistically. So, we are not saying we'll definitely buy all those shares back in a predetermined amount of time.
Collyn Gilbert: Okay. Okay. And then just finally tying all this together with kind of a NIM guide, if we you know kind of assume that full year range that would mean in the fourth quarter you could theoretically perhaps have a NIM as low as say 2.95 or so, so you are going into 2020 with a 2.95 NIM with continued pressure kind of assume still be coming in the first quarter just because of December rate cut that would be factored in. How are you thinking about that in just totality of still wanting to generate EPS growth? Or will 2020 be a year that may be you don't generate EPS growth or you don't hit your financial target? I'm just trying to tie it all together just seems like there is going to be a meaningful drop in earnings per share in 2020 with this NIM?
Jack Barnes: Collyn, hi, it's Jack. I think that as we described on lowering the NIM guidance, we're looking at the high potential of the Fed lowering rate, right. That's a primary driver of that change in the guidance. And, as we go into through the rest of the year and into 2020, there is a lot of levers right to use to kind of place that headwind. We have described the work that we continue to do on remixing the asset on the balance sheet and improving yield and changing to make up the percentage of both portfolios. We continue to work on growing DDAs and we continue to work on our deposit cost.So, there is a lot a different ways that we can fight the pressure on rates coming down with Fed as you know. None of us know where that's going to go really. I think our challenge and our job is to react to what is going on in the market and externally and then manage what we can manage. So again, if you were just assume that the December rate decline is going to kick in and then maybe there is another one, that's in isolation and it doesn't give us any credit for taking actions look like that off.
Collyn Gilbert: Got it. Okay.
David Rosato: I would just add to that, the 2.95 NIM that you quoted feels very aggressive to me, as we're much lower than where I think we'll wind up being and…
Collyn Gilbert: Yes, sorry, what, David, like that also I have UBNK already in my model. So that includes UBNK, and next year's does not. But any way I didn't mean to interrupt. Continue?
David Rosato: So I was just going to say if the interest rate environment, it gets crystal clear that we are going to substantially lower rates, there's going to, we're going to have to take substantial action, to protect our NIM. That's both on hedging on the asset composition side, as well as the liability side.
Operator: Thank you. [Operator Instructions] Your next question comes from Matthew Breese from Jaffray. Your line is now open.
Matthew Breese: Just want to continue the NIM discussion, hop on the NIM pick file so to speak. Just curious, is there any other drivers of compression and maybe you could just give us a sense for what a accretable yield amounted to this quarter for the NIM and where you expect it to go by the end of the year in terms of a headwind?
David Rosato: Really not much of a factor in the quarter, the real drivers, the positive around our NIM is we still have a nice differential between the new business that's hitting the books and our current loan portfolio yield. That's been going on for quite a few quarters now. There's, benchmark interest rates are moving down, but spreads are staying constant. And I think that metric will continue in the back half of the year as well.
Matthew Breese: And what is the difference now between the incremental new loan and what's on the books?
David Rosato: That's a little over 50 basis points.
Matthew Breese: And then is the, I know you mentioned you had a rather large $500 million commercial deposit, it sound short-term in nature. With the expectation that moves off the balance sheet, is that a driver of NIM compression as well and if so how much?
David Rosato: It was a modest driver of NIM compression in the second quarter. It won't be here for too much of the third quarter and it was on the balance sheet for about half of the second quarter.
Matthew Breese: Okay.
David Rosato: We just called it out more because it was large and it came and it will be going.
Matthew Breese: And then you mentioned that some of the growth this quarter came from the healthcare space. Could you just give us a sense for what your exposure is to the segment? What types of loans you're providing there and geographically where it's centered?
Jeff Tengel: Hi, this is Jeff again. The healthcare, our healthcare businesses, mostly senior housing, seniors, if you think about it, and it's mostly in our footprint, so we're providing financing for, assisted living skilled nursing facilities we also do, and there's not much in the way, if you think about hospitals because so many of the hospitals have consolidated in the northeast. So, there is probably a bigger concentration in the senior housing and some of the not for profit agencies.
Matthew Breese: And what's the size of that portfolio? How much did it grow this quarter?
Jeff Tengel: This quarter they grew $100 million, a little over $100 million.
Matthew Breese: On balance of...
Jeff Tengel: About 750ish.
Matthew Breese: Okay. Okay. And the my last question just with regard to CECL, we're getting pretty close to the deadline here I'm just curious, if there is any sort of additional commentary or expectations for day one and then go forward provision?
David Rosato: We are not prepared to talk about, putting any numbers out there. Our expectations will be, we'll be doing that in early October on our third quarter conference call as well as putting additional disclosure in the queue. Comments are very similar to last quarter, which is, we have a cross functional team across the banks. It's been work on CECL for over a year now. We have developed all of our models. We're just about ready to start parallel testing on the back half of the year and we'll provide more clarity in three months.
Operator: Thank you. Your next question comes from Brock Vandervliet from UBS. Your line is now open.
Brock Vandervliet: Thanks for the follow-up. Just on accounting, purchase accretion for Q2, do you have that number?
David Rosato: I don't off the top of my head. It was similar to -- somewhat similar to last quarter. I can follow up with what the exact number was.
Brock Vandervliet: Okay. Yes, I think it was $6 million last quarter. Great, I'll follow up offline.
David Rosato: Okay. Thanks.
Brock Vandervliet: Thank you.
Operator: Thank you. Ladies and gentleman, since there are no further questions in the queue, I'd now like to turn the call over to Mr. Barnes for closing remarks.
Jack Barnes: Thank you. In closing, we are pleased with our strong second quarter performance, which was highlighted by a 24% increase in operating earnings from a year ago, 260 basis point improvement year-over-year in the efficiency ratio reflecting higher revenues, particularly strong non-interest income growth and well controlled expenses, solid organic loan and deposit growth, new business yields remaining higher than the total loan portfolio yield and the sustained exceptional asset quality.Thank you for your interest in People's United. Have a good night.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.